Operator: Good morning everyone and welcome to the Wright Express Corporation third quarter 2009 conference call. There will be an opportunity for questions after the prepared remarks. (Operator Instructions). Today’s call is being recorded. At this time, for opening remarks and introductions I'd like to turn the call over to Steve Elder, Vice President of Investor Relations. Please go ahead sir.
Steve Elder: With me today are our CEO, Mike Dubyak and our CFO, Melissa Smith. The financial results press release we issued earlier this morning is now posted in the Investor Relations section of our website at wrightexpress.com. The copy of the release has also been included as an exhibit to an 8-K we submitted to the SEC. We'll be discussing a non-GAAP metric, specifically adjusted net income during our call. Adjusted net income excludes non-cash, mark-to-market adjustment on our fuel price related derivative instruments and the amortization of the acquired intangible assets as well as the related tax impacts. Full-year adjusted net income results include those items as well as asset impairment charges, adjustments related to the deferred tax asset and related Tax Receivable Agreement and that the gain we recorded on the settlement of a portion of the amounts due under our Tax Receivable Agreement which we prepaid in Q2. Please see Exhibit 1 included in this press release for an explanation and reconciliation of adjusted net income to GAAP net income for the current quarter. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors including those discussed in our press release most recent Form 10-K and other SEC filings. While we may update forward looking statements in the future we disclaim any obligation to do so. You should not rely on these forward-looking statements after today. With that I will turn the call over to our CEO, Mike Dubyak.
Mike Dubyak: Hello everyone and thanks for joining us. This was another good quarter for Wright Express reinforcing recent trends. We continued to deliver strong earnings in a tough environment exceeding the top end of both revenue and earnings guidance. Revenue for the third quarter of 2009 was $86.6 million nearly $4 million above the high end of our guidance range. Adjusted net income was $0.63 per share exceeding the top end of our guidance by $0.04. The trends in the business this quarter were similar to Q2. We continue to control expenses including bad debt, our existing free customer base or same store sales remain stable sequentially in fuel transaction volume and our fleet business was almost exactly what we expected for the quarter. Looking forward we believe we are well positioned to benefit as the economy continues to recover. Here is a quick breakdown of the $0.04 upside we experienced this quarter. About $0.02 related to payment processing revenue, primarily a continuation of better than expected results in MasterCard with some upside from higher fuel prices than assumed in our guidance. The other $0.02 was attributable to late fees. After tightening our credit policies and changing the calculation of late fees we expected more of our customers to respond by paying us on time. This response didn’t occur to the extent we thought it would. So revenue from late fees exceeded our plan. On the expense side, credit losses were slightly higher than we anticipated but well within our historical range. The additional expense in credit loss was offset by savings in other areas. Our Q3 guidance assumed we would not see a significant improvement in business volume. And as I mentioned fueling activity in the quarter was in line with our forecast. Starting in Q3 last year and continuing through the fourth quarter, we had a significant drop off in existing customer usage and we’ve remained at roughly that level through the first nine months of 2009. If you look at our organic transaction volume on a same store sales basis we still seem to be managing along the bottom, down 9% in Q3 from year earlier levels. This is slightly better than the 10% decline we reported last quarter but we believe the improvement is primarily due to an easier comparison rather than through increased usage. We continue to see divergence in customer behavior across different industries similar to what we saw last quarter. On a year over year basis the public administration is the only SIC code where there was improvement in same store sales which would exclude the GSA. Declines in most other industries were generally in the range of 5% to 10%. In terms of geography, the southeast and southwest are showing declines of 11% to 12%, while the northeast is the strongest region with the decline of only 5%. The weakness in the annuity side of our business was offset by solid performance at the front end. Our sales pipelines are strong. We've looked at the recession as an opportunity to build awareness of our value proposition, at a time when better management controls and savings on fuel are more meaningful to the market than ever before. Instead of pulling back, we've continued to invest in our business. Stepped up our sales efforts and protected the services our customers value most. Overall, the new vehicles we've added this year, have more than offset the contraction in our installed base, including the GSA and the new Citi portfolio added in the second quarter, our total average vehicle count for Q3 was up by approximately 3% from a year ago. Breaking this down in detail, the average number of vehicles in our large and mid-size fleet portfolio was up 6% in the third quarter, in the same period a year ago. This largely reflects the addition of the GSA fleet portfolio we added in December of 2008. We recently won new state government business that will add approximately 13,000 vehicles starting in early January. Where the economy has had the most impact is in the small fleet market and our average vehicle count in small fleets was down 1% from the third quarter last year. This reflects the contraction we are seeing in the existing customer base and to a lesser degree slightly higher attrition rates than last year. Although the economists says that overall GDP is improving, our small business prospects are telling us it still feels like a recession to them and they are still being cautious in making buy decisions. This was reflected in our Wright Express direct channel where the average small fleet vehicle count was down 2% from Q3 last year. In our heavy truck private carrier fleet vehicle comp remains weak, reflecting ongoing conditions in the transportation sector. The number of vehicles in heavy truck was down 7% from the comparable quarter of 2008. The decline is mostly as a result of higher attrition due to credit tightening and contraction in the existing customer base. As we work to maximize growth in our core business, we are continuing to invest in our diversified businesses as a way to create both opportunities for Wright Express and greater value for our customers. The first of these investments was MasterCard where third quarter purchase volume grew 31% from Q3 last year to $876 million. Our MasterCard segment has outperformed every other part of our business during the recession. Our online travel customer's volume has remained surprisingly strong driving usage of our single use account product. We are beginning a test program in Q4 with another large online travel company and hope to have this program fully ramped up by the end of next year. This is an exciting win that has the potential to be a large customer for us. Our newest diversification initiative is to expand our business internationally. Our target market is comprised of major oil companies that have large fleet card portfolios. At this early stage, we are focused on a more limited approach than the full service processing model we offered the oil companies in the U.S. and Canada. Our near term objective is to establish private label processing relationships with the oil companies where we will function as an application service provider handling the point of sale authorizations and processing the transactions. Given the large size of these oil company portfolios, we believe there are significant opportunities for growth and we are beginning to invest more aggressively in this area. It would be several years before this becomes materially accretive due to the ramp up period and the development needed to support the business. Led by MasterCard and International, our diversification efforts are performing well. In aggregate, these businesses are growing and contributed $17.2 million to our top line in the third quarter, up 38% and $12.5 million in Q3 of '08. This represents 20% of total revenue in the quarter up from 11% for Q3 last year. Our strategy for managing through the economic downturn has focused not only on the top line but also on tightly controlling operating expenses while still investing wisely in our business. In addition, one of our objectives was to control bad debt without increasing voluntary attrition overall goal of 3%. Overall, our attrition rates remain low. Voluntary attrition for the third quarter was 2% compared with 1.9% for Q3 of 2008. Fleet credit loss for the third quarter came in at 19 basis points consistent with eight basis points in Q2. In comparison with many of the other companies that provide credit in U.S. markets, we are continuing to deliver strong performance in the collections area with low loss levels. Melissa will cover this in detail when she walks you through operating expenses in a few minutes. In any economic environment, it's an advantage to have healthy liquidity and cash flow and Wright Express has both. We're working to deploy our cash both strategically and conservatively. In Q3, we used our cash to pay down roughly half of the $55 million we borrowed last quarter primarily to fund the Realogy prepayment, while also buying back around $4.3 million of our stock. As a result, we concluded the third quarter with a relatively low level of financing debt and a leverage ratio of 1.2 times EBITDA compared with 1.4 times EBITDA at the start of Q3. Going into Q4, this positions us to pursue all available options for generating the highest possible return on our cash flow including paying down more of our financing debt, buying back stock and exploring alliances, mergers and acquisitions that advance this objective. In conclusion, Wright Express performed well this quarter. Once again, we continue to focus on growth and managed our business effectively despite economic conditions that were less than ideal. We continue to invest in opportunities to diversify our revenues and add value for customers. We extended our hedging program to insulate our future results from fuel price volatility. We kept a tight reign on credit loss and maximized the benefits of our strong cash flow. Although the macro economy maybe showing signs of modest improvement, the current trends in fleet fueling activity suggest the recovery hasn’t yet extended to a good many of our existing customers. When it does, and we begin seeing volume in our installed base beginning to grow again, the upside for our business is likely to be substantial. In the mean time, we'll remain focused on attacking the market, further strengthening our business and continuing to deliver the best possible performance for our shareholders. I'll now turn the call over to our CFO, Melissa Smith, so she can review our financial results and then we'll take your questions.
Melissa Smith: I'll review our financial results for the third quarter and conclude our prepared remarks with the company’s guidance for Q4 and full year 2009. I'd like to begin with some background. One of the points we've been made in explaining our business model is that all things being equal, overtime, our cash flow will be roughly equivalent to our adjusted net income. More recently with the prepayment of the Realogy portion of the tax receivable agreement, cash flow should be several million dollars more than ANI. In the real world of course, things are rarely equal most often due to fluctuations in fuel prices. So it's usually difficult to make this connection. In the third quarter of 2009 however, fuel prices were essentially the same as in Q2. So we experienced something very close to normalized cash flow generation. Our ANI for the third quarter was $25 million and as expected, we realize an additional $3 million in cash from the Realogy prepayment. The resulting total of $28 million is roughly the amount we paid down on our financing debt and spent on buying back stock in the quarter. This shows the significant cash flow we generate in the normal course of our business. As Mike mentioned, several factors contributed to the positive results of quarter. On the revenues side, we benefited from higher than expected MasterCard purchase volumes, fuel prices and late fee income. At the same time, we've continued to be successful in managing credit loss in other operating expenses. We did see a return to more normal levels of credit loss expense and delinquency rates in the receivable portfolio compared to historically low levels in Q2. Credit losses to the quarter were slightly higher than our expectation. New business again, helped offset the year-over-year contraction in our existing customer base. Over the long-term we believe the consistent net growth we have achieved and our total vehicle count sets the stage for a solid rebound in transaction volume as the recovery spreads across the economy. In the meantime, we’ve been able to control costs, effectively manage our loss rates and continue to generate solid free cash flow. With that as background, I'll discuss our financial metrics in detail. For the third quarter of 2009, total revenues decreased 20% to $86.6 million from $108.5 million for the third quarter of 2008. This compares to our guidance range of $78 to $83 million. Net income to common shareholders on a GAAP basis was $23.4 million or $0.60 per diluted share compared with $72.3 million or $1.82 per diluted shares in Q3 of last year. As I mentioned, the company’s non-GAAP adjusted net income for the third quarter of 2009 was $24.9 million or $0.63 per diluted share. This compares with $21.8 million or $0.55 per share last year. Comparing Q3 this year to the same period last year, revenue for the fleet segment declined by 25% to $75.7 million from $101 million last year. The average number of vehicle serviced was approximately $4.6 million compared with $4.5 million a year earlier. Total transactions declined 7% to $67.1 million from $72.5 million last year. Transaction processing transactions declined 17% to $14.1 million and payment processing transactions declined 4% to $53 million for the quarter. Reflecting the lower price of fuel compared to last year, as well as contraction in fueling volume within our installed base of customers, payment processing revenue in our fleet segment declined 35% to $50.2 million from $76.8 million in Q3 last year. When we provided guidance for last quarter we expected a 7% to 10% decline in same-store sales over the second half of the year then the results in Q3 2009 reflected a 9% decline. The average expenditure for payment processing transaction was down 35% from the third quarter last year to $52.50 due to the drop in average fuel prices to $2.58 per gallon. Our net payment processing rate for Q3 2009 increased nine basis points year-on-year to 1.8%. Although, we are continuing to see positive results from our shift toward hybrid pricing arrangements compared to the second quarter of 2009, our net payment processing rate was down five basis points due primarily to the $0.25 increase in fuel prices sequentially. Consistent with Q2, approximately 60% of our transactions in the third quarter were merchants with hybrid contracts. Rebates as a percentage of fueling dollars paid to large fleets and leasing companies were up slightly compared to the second quarter of this year. As Mike discussed, our MasterCard segment is continuing to grow driven by strong demand for our single use account product. Total revenue contributed by MasterCard in the third quarter grew 46% to $10.9 million from $7.5 million in Q3 last year. Total MasterCard purchase volume was up 31% to $876 million, from $670 million in Q3 last year. This was the largest driver of the increase in revenue for the quarter. The net interchange rate for Q3 was 1.1% which is up seven basis points for the third quarter of last year. This increase contributed approximately $850,000 of the revenue growth in MasterCard. The remainder of the revenue growth is due primarily to an increase in cross border transaction fees. Turning now to operating expenses; on a GAAP basis the total for Q3 declined 7% to $50.3 million from $54.1 million in the third quarter last year. Please continue to aggressively manage expenses and overall they were in line with our expectations. The decrease compared to Q3 last year was mainly due to lower credit loss and operating interest expense. These declines were partially offset by increases in salary and service fees. I will take a moment to focus on credit loss. Overall credit losses returned to more normal levels in Q3 on a total basis including both fleet and MasterCard credit loss was down $3.7 million or 39% from Q3 last year to $5.7 million. Total charge offs in the quarter were $4.4 million and recoveries were $2.7 million. Charge offs continue to be made up primarily of small businesses with balances less than $25,000. We did experience one significant bankruptcy in the MasterCard segment but none in the Fleet segment. Recoveries were down in terms of dollars collected compared to the second quarter which was a significant factor in sequentially increasing credit loss expense. We expect this decline in gross dollars recovered as we are now collecting on balances from transactions made after fuel prices dropped below $4 per gallon. As of September 30, balance past due 30 days or more represent 1.4% of the portfolio or about $10 million. To put this into perspective, this is one of the best months we have ever seen and is better than historical averages. However, it is a deterioration compared to our Q2 results. All of these factors contributed to our loss rate in the fleet segment coming in at 19 basis points to spend as we expected closer to the mid point of our historical loss range than in the second quarter. The 19 basis points in Q3 compares with 20 basis points for the same period last year. Let’s now move on from credit loss to other key expense lines. Salary and other personnel costs for Q3 2009 were $18.7 million up $4.1 million from last year. This increase was due primarily to the bonus plans. Last year, we reversed approximately $2.5 million of bonus expense because we did not expect to meet the performance goals of the plans. This year, we reported an expense of approximately $2 million for 2009 bonus plans. Our average head count for Q3 was 708 which is down 25 people from Q3 last year. The overall reduction in headcount reflects our continued focus on cost control. Continuing with operating expenses for the third quarter, service fees were up 48% from Q3 last year. A majority of this increase is due to the growth from the MasterCard purchase volume and to a lesser extent increases in cross border purchases. As in Q2, operating and interest expense was a positive factor in Q3 declining by $6.8 million or 71% from the third quarter last year to $2.8 million. Our average operating debt level including CDs and fed funds was $478 million compared with $756 million in Q3 last year. This increase is in line with a change in fuel prices. The interest rate on our CDs and fed fund borrowings for Q3 was 1.6% which compares with 2.6% in Q2. Our interest rates have been declining for the past several quarters and although we expect to continue to benefit from low interest rates through the end of the year, we do not expect to see rates drop significantly lower as virtually all of our higher rate CDs have matured. Your remaining operating expenses were flat when compared to last year. Our effective tax rate on the GAAP basis was 39.6% for the third quarter compared with 33.2% for Q3, a year ago. Our adjusted net income tax rate this quarter was 37.8% compared with 19.9% for Q3 2008. The tax rate last year included adjustments to deferred tax assets that made the rate unusually low. Turning to our derivatives program; during the third quarter of 2009, we recognized a realized cash gain of $3.8 million before taxes on these instruments in an unrealized loss of $100,000. This included the quarter with a derivative asset of $20 million. Our weighted average prices locked in for Q4 are between $3.02 and $3.08. We've completed nearly all of our purchases for 2010 in a price range of $3.07 to $3.13. Assuming prices remain at current levels; this range would come down slightly when we complete purchases for the year. We have received $15.4 million of realized gains for our hedging kind of parties so far in 2009. We expect the hedging will continue to be important to our business model going forward and we still intend to purchase derivatives in the future. Moving on to the balance sheet; we have nearly two and a half years left on the revolving credit facility with pricing significantly better than current market rates. We entered into a new interest rate swap last quarter that fixes LIBOR at a rate of 1.35% for next two years on $50 million of our financing debt. We ended the quarter with a balance of $166 million. For the year, we have reduced financing debt by $5 million after using $6 million in cash for share repurchases and $51 million for the prepayment of the Realogy portion of the Tax Receivable Agreement. Wrapping up the review over financial results, capital expenditures were $4.2 million for the third quarter. This reflected continued reinvestment and our core product offerings and strategic diversification. For 2009, total CapEx is expected to be between $16 million and $18 million. I will conclude with some key assumptions and our updated financial guidance for the fourth quarter and full-year 2009. Although, we are planning on continued success in finding new customers our Q4 guidance assumes a year-on-year decline in transaction volume within our existing customer base of approximately 5% to 7% due to economic conditions. We also expect a normal seasonal decline in fleet transaction volume and MasterCard spend volume in Q4 based on fewer business days and slow down around the holidays. At the same time, Q4 has historically been a difficult quarter for credit losses. We were expecting our credit loss for the quarter to be in the range of 25 to 30 basis points. Let me remind you that our forecast for the fourth quarter and full-year 2009 are valid only as of today and remain on a non-GAAP basis as Steve discussed earlier. Although, our share repurchase program remains in place, we have not included any potential EPS upside from that. The fuel price assumptions were based on the applicable NYMEX futures price. For the fourth quarter of 2009, we expect to report revenues in the range of $76.5 to $81.5 million this is based on an average retail sales price of $2.53 per gallon. So the full year 2009, we expect revenues ranging from $311 to $316 million based on an average retail sale price of $2.36 per gallon. In terms of earnings, for Q4 2009, we expect to report adjusted net income in the range of $20 to $22 million or $0.50 to $0.55 per diluted share. We expect adjusted net income for the full year 2009 in a range of $83 to $85 million, $2.12 to $2.17 per diluted shares on approximately 39 million shares outstanding. With that, we'll be happy to take your questions. Claudia you can proceed with Q&A now.
Operator: (Operator instructions). Our first question is coming from [Reggie Smith] with JPMorgan. Please state your question.
Unidentified analyst: My first question, you guys talked about Canada this morning and I was wondering if you could give a little more detail there, may be explain what the market looks like today, like who's providing those types of services and maybe kind of size what the market is relative to the US, and just to be clear, it sounds like you'd have a transaction processing type relationship up there or would it be a funding payment processing type relationship?
Mike Dubyak: Yeah, Reggie let me clarify, in Canada we do process private label programs as well as we have our Wright Express card at some locations up there and that is processed out of our location here in South Portland. But when we talk international, so beyond North America we’re really talking about the acquisition we made of the FAL company in New Zealand and we’re hosting that in Vienna and we will do international transaction processing out of that site for major oil companies in probably different parts of the world, primarily the European market, Asia Pacific markets, but it could extend beyond that. And what I was alluding to was that to get started, since this is brand new for us, we're going to start primarily as a processor where we basically will do authorizations, we'll do transaction processing and then we'll feed the transactions back to the oils and feed back into their AR systems and into their CRM systems. So they would do if you will, the credit collections customer service. Overtime, we hope that we can migrate and move into those operation services but initially, we would just be a transaction processor for these major oil companies in different parts of the world. So I hope that clarifies the Canada versus the rest of the international.
Unidentified Analyst: No. It definitely does. Can you talk a little bit about who is providing these services today, would it be competitive type brand, are banks doing this now and maybe how your product offering compares to those guys or how it matches up?
Mike Dubyak: Yeah it does vary, but in most cases, it is managed today by the oil companies. So they have their own multiple call centers if you will, if it's in the European market in various places or if it's in another parts of Asia Pacific. So, they are primarily managing it in-house today and that may change overtime, but that’s how they are doing it today.
Unidentified Analyst: Okay. And if I could sneak one more in, just kind of looking at the gallons per transaction, its up this year, I know it's kind of early to talk about '10, but what is longer term view there? Should that also continue to increase over the coming year or is there any thing going on in your business mixed up that might cause that to decline a little bit over time.
Melissa Smith: Yeah I think what you've seen within the existing customer base is the customer base is contracted to the number of vehicles; the ones that are remaining are a little bit more active. So you're seeing more transactions. And as far as how that looks in the future, I don’t know. I can say coming into the recession you saw at first, just a slow down in transaction volume and then ultimately people starting to shut the number of vehicles they had. So you can argue that.
Unidentified Analyst: I guess I was actually talking about gallons per transaction. So, I am trying to get at, is your average vehicle getting larger or smaller or?
Melissa Smith: And some of that has to do with when fuel prices were higher, so I think when you are comparing it to some of the high points last year, people tend to buy the same amount of fuel but they'll do it in lower transactions. And so the average size of the transaction is a little bit smaller.
Mike Dubyak: Because they were filling up more often as the price of gas was going up. Now that there is some stability in the price of gas, they are probably just waiting until they have to fill up. So the overall average transaction has gone up slightly, but we really haven’t changed the mix of vehicles that we service. Some of those trends I think are impacting it.
Operator: Our next question is coming from Bob Napoli with Piper Jaffray. Please state your question.
Bob Napoli: Questions I guess, first of all on same store sales given the trend, the dreaded stabilization word, that’s a lot better than plummeting stabilization and then hopefully accelerating as we'll hear out of you in a couple of quarters, but at this stabilization rate do you expect same store sales to be positive by in the first quarter of 2010 mathematically with that you enter or not.
Mike Dubyak: I'd say at this point all we’ve seen is sequentially kind of a stabilization. We haven’t seen same store sales sequentially go down, so that’s at least saying its may be bottomed. We have no indications though because even if we look at the SIC codes and some of the geographic information, it's bounced around a little bit but overall, we haven’t seen anything that says in particular it' ready to bounce back. The only areas we do try to segment small fleets and large fleets, the small fleets are coming back a little bit better than the larger fleets, probably because they went down first, they went down pretty dramatically. The larger fleets seem like they are lagging, but they also started to come down later. So, may be that’s just a natural progression of the small fleets bouncing back a little bit more. But when you average them together, we are still saying that it's just flat sequentially quarter-over-quarter.
Bob Napoli: Okay. New business, can you quantify how much new business you've added this year compared to other years and what the pipeline looks like?
Mike Dubyak: I would say that we feel it's probably in line with what we’ve seen in past years, in terms of new business growth. The pipelines though I think are strong. We're seeing in the second half of this year, as I said, in the prepared remarks, we’ve been trying to be aggressive and attacking the markets so, we’ve been sending our sales force in different ways, doing some different things with some of our partners to try to leverage our sales into different parts of the market more aggressively. The pipelines are very full. Both our MasterCard and our Fleet program and just given the fact we want [state] piece of business for 13,000 vehicles, we feel very good about our ability to continue to win market share and what we see in the pipeline is encouraging.
Bob Napoli: On MasterCard, its pretty impressive performance, out of MasterCard and you said you have another major online travel customer coming and how much of that is international? Can you maybe give a little more color on that? Is all the growth coming from the online? Are you getting growth in the insurance market, in the corporate card market as well?
Mike Dubyak: Yeah there is no doubt that the biggest part of our growth is from our single use product and that is the insurance businesses that we brought on, but a lot of it is in the travel business as well. There is no doubt that consumers are using that probably more today to save money and book their own travel and we're getting the benefit of that with our different customers. There is some International, its still a smaller percentage, most of it is still domestic, but it is a piece that some of our online partners if you will, acquired some businesses last year in the international markets and that gave us a little bit of a bump, even kind of year-over-year with some of those acquisitions. I hope that helps.
Bob Napoli: Yeah. It sounds like with the momentum you don’t expect the growth rate to slow down into 2010?
Mike Dubyak: Well, I think that we see that on the insurance and the warranty side, we think there is abilities for that to continue to grow nicely. We just talked about this new piece of business. There is no guarantee, but we're starting with them this year and we hopefully will continue to win their confidence and roll that out all through next year and that can be very large. So, that will add to our growth on the MasterCard as I mentioned in the remarks as well.
Bob Napoli: Okay. And then on the International, you sound pretty confident in signing up several of these big oils. Am I reading that wrong? And what is the timing? I understand its going to take a while to scale up and have a meaningful earnings but are you getting close to having some announcements on assigning some cornerstone customers?
Mike Dubyak: Yeah I would think there would be some announcements forthcoming. I don’t want to say exactly when. But I think we are getting closer to the ability to say that would be forthcoming. Hopefully, if not by the end of the year, by early part of next year because we are saying we're gearing that up we are being more aggressive on our development. And we feel very good what our position is today and how we are trending and some of the new opportunities are accelerating beyond what we even thought as we enter this market. We probably won't see actual processing revenue from some of the new customers until at the earliest next year. But we'll still be developing for others so we won't see true meaningful accretion probably into 2011 and 2012.
Bob Napoli: Great that’s exciting last question on just stock repurchases. With your strong balance sheet and your stock actually down this morning but then with the valuation out there and with the balance sheet that you have and the cash flow that you have, why not get a bit more aggressive or is it because are you seeing deals, are you seeing strategic opportunities that are taking priority?
Mike Dubyak: Yeah I think we have been, fair saying, we will look at all three. Paying down our debt stock, repurchases and acquisitions I think we still buy us a little bit on the liquidity side both because we would like to see this economy get stronger, first of all. And I would say second of all because we do see potential opportunities in alliances and acquisitions and we'd want to make sure we are well poised for that. But I think we are being cautious and biasing on the liquidity side at this stage. But we will still look at all three of those areas as ways to deploy our cash effectively. And hopefully get the returns we want for our shareholders.
Operator: Our next question is coming from Tom McCrohan with Janney Montgomery Scott. Please state your question.
Tom McCrohan: Most of the questions I had have been asked. I'll just have a couple of quick follow ups on the MasterCard results which were incredibly strong but not intuitive is I always view that product is more of a travel product right. And given what’s going on in the economy I am just so surprised that what your performance is I mean $100 million sequential improvement in volumes this quarter. Could you break out for us what proportion of the volume is attributable to that one online travel customer?
Melissa Smith: I think we have said in the past revenue is about 50-50 split between our single use account product and the rest of our product. So there’s a pretty good balance within the portfolio. And when we’ve seen growth from the single use product this quarter, it's been in part because the businesses that we have as customers have expanded. And then I talked about geographic expansion. So not only have they grown domestically with the programs that we have in place but I think we picked up some revenue just because they’ve gone and rolled out the program into other areas of the business. So it’s a combination of a bunch of things that have helped us in the quarter.
Tom McCrohan: Okay, so 50% is single use and a proportionate 50% is online travel which haven’t broken out.
Melissa Smith: Correct.
Tom McCrohan: Okay and on the bad debt side you talked about changing the policies around bad debt. Can you give any more specificity around that, like what exactly you changed and what the polices are now for customers that are paying late?
Melissa Smith: Yeah, the things that we have done and this has been kind of over the last 18 months. It has been changing the period to which it will shut someone down. So we will rapidly turn somebody off as they have a poor collection score based on their past behavior patterns instead of treating everyone kind of the same. So it's got an little bit more sophisticated approach to collections and I think that, that’s pay dividend. I think you maybe asking all for just about the late fee, the way that we assess late fees. And we just changed the method of calculation. So it's more consistent with people in the industry. And we eliminated the grace period. We had just given people in the grace period; it wasn’t part of the terms and conditions.
Tom McCrohan: So that policy change contributed to better than expected revenues from bad debt expense for the quarter. But if you look at AR days, looks like your collection days went down, so it seems like the policy is working but on the other hand its not. Somewhat confused on how to reconcile the AR days, shortening up and which you are saying?
Melissa Smith: Actually I think that’s a good question. The AR days for us don’t change all that much. There are DSOs are pretty consistent where you see the upside on late fees or people that tend to pay and let's say in 35 days. So they are still making a payment, they are just doing it slightly delayed beyond the due date. And so that behavior didn’t where we change from what we have seen in the past or what we had anticipated is because the late fee was higher that the customer would be more likely to pay us within the 30-day period of time and alter their payment experience. And that hasn’t really happened. So we got benefit from that on the revenue side and at the same time from a collections perspective. The collection methods that we are using seem to be working to make sure that we are getting payment from the higher risk accounts that may have charged off historically.
Tom McCrohan: Okay and then how that segued into your fourth quarter credit loss guidance being hired and which we saw in this quarter you're not viewing the bad debt expense this quarter being higher than your expectation as a leading indicator of higher credit losses in your guidance more reflect seasonality in the fourth quarter is that how we should be interpreting that?
Melissa Smith: Yeah that is correct we have historically seen a slight erosion in the aging in the fourth quarter and so we are expecting to see something similar happen in the fourth quarter of this year we were pretty close to what we expected in Q3 was off a little bit but it was pretty close and so we are not seeing any hopeful changes in the portfolio that have us concerned. And I just had one correction. What we said that charge offs for the quarter were $4.4 million but the coverage were $1.7 million.
Operator: Our next question is coming from Tim Willi with Wells Fargo. Please state your question.
Tim Willi: Thanks and good morning. A question on the balance sheet and then on macro economics, first was regarding the balance sheet and funding. Given where rates currently are, I know there might be a little bit of may be a near term earnings give up. But for sort of longer term visibility around working capital and under an assumption of increasing containment volumes over time. How do you think about trying to put in some longer term lower cost funding around the payment processing business to may be give you a bit more visibility as opposed to sort of the current strategy?
Melissa Smith: Yeah from just an efficiency stand point as well as from a cost stand point, the funding that we use through our bank, the brokerage CDs they are very effective in dealing with significant fluctuations in the funding source from each period. If you think you can have a pretty dramatic change within the months of what the amount of your debt requirements are. So we would like the brokerage CDs and our ability to kind of fund out through our fed fund line when needed because all in that creates an efficiency in the rate. What we’ve done is try to extend the period of the CD and take advantage of the current rates. But being mindful, we can only extend it so far that we have to match the asset, the timeline of the asset to a certain extent. So we think that we are trying to balance both of those things and if you look at our finance and debt, we lost $50 million of our financing debt last quarter to try to take advantage of the lower rates.
Tim Willi: Okay and what you said that earlier? I missed it and I apologize. But what kind of duration are you on right now with CDs, how much has it lengthened up, and where could you take it if you still have some flexibility there.
Melissa Smith: Yeah, its about seven months right now, is the duration on average you know roughly. And I think the longest we’ve gone is been close to a year. So we are talking about a matter of months at some point from a regulatory perspective you know matching the turn of the asset.
Tim Willi: Okay. As there are favorable I would say reinvestment rates but in terms of what you are currently paying versus what new funding is coming on that, is there any kind of notable or noteworthy difference in rate right now?
Melissa Smith: Yeah, we think the rates have pretty much adjusted through the CD portfolio.
Tim Willi: Okay, so there’s really no arbitrager. Okay and second thing was just around your comments around your customer base in the smaller businesses, etc. Do you think, is this purely still an economic demand issue in your opinion around the growth of your customers or is it somewhat tied again to what we continue to see and hear about the banking industry and lack of capital and credit. I know they are intertwined, but it seems that we hear more and more about, there are people that want to borrow money, but the banks just haven’t really loosen up the purse strings and now clearly that will impact expansion plans or growth plans for your current customers. Just sort of curious what feedback you get from sales and customers around those two issues?
Mike Dubyak: I would say that the customer base we have, it's not so much that they need capital to expand. They are basically going to deliver services in goods based on what's going on in the economy with people's buying patterns. So, I think what they are doing today, is just cutting back expenses to manage against their cash flows and they are not seeing any real pick up. As we said in the remarks, the small businesses still feel like this is a recession because they are not seeing that pick up. So I think the cut back has been, they have just found that their business was down, they cut back on number of transactions, then they cut back on number of vehicles and we're waiting to see that turn around once the economy gets more robust and their services start to pick up, whatever industry they might be in.
Tim Willi: And then lastly, just one more on pricing, I think in the last quarter you had mentioned in more rational pricing environment as some competitors that are over levered or at least small levered than you have to get a bit more [origin] about margin and cash flow. Does that remain the case?
Mike Dubyak: I would say we look at it from both sides. One is from the Fleet side and I would say that we still have aggressive competitors in the marketplace but I think that everybody in this marketplace is looking for profitable business, so I think it makes everybody more rational. But they are still in the marketplace very competitively. There are some of our competitors though that have actually exited or pulled back from certain markets I think that’s an advantage for us. On the merchant side with our hybrids, that has relieved any pressure that we were seeing last year at this time because of high fuel prices and the hybrids have I think worked for both parties. And even if prices start to spike back up, we don’t expect the same pressure we saw last year because the hybrids kind of offset that pressure because of what it does as the price goes up that transaction fee becomes a lower percentage of the overall. If you don’t interchange recharge the oils.
Operator: Our next question is coming from Robert Dodd with Morgan Keegan.
Robert Dodd: Just two, one on the sales channels for the [slow one] and the other one on credit, the impact on the customers. I know you are very focused on attrition, you have done a good job controlling that. I have to wonder with a limited availability of alternatives right now with some of these customers, that you are particularly once paying the incremental late fees. Then may be a little bit of pent up attrition so to speak there with irritation that you guys increased on the [minutes] point, whereas at this point, they don’t have anywhere to go. Are you seeing an increase in complaints coming in to your call centers about these fees or is it just people just paying in? Basically ignoring it and moving on?
Mike Dubyak: Yeah. It's interesting. First of all, our attrition rates we have even set for the quarter were pretty much in line with last year. So that 2% versus 1.9, but we do monitor that because as we made some of these changes, we wanted to first say to ourselves we're not going to let our attrition get out of hand. We felt it'd be some trade off letting it may be get higher than normal if we had to, because bad debt can be such a big part of our cost drivers. But as we look at the reasons why people normally leave on a voluntary basis, we're not really seeing that pop up as something that’s accelerated or has increased our attrition rates and it’s a very small percentage of fleet saying they are leaving because of that.
Robert Dodd: And then the second one, on the last call you mentioned may be being a little bit more aggressive and trying some different approaches in how you market to the small fleet segment. Can you give us an update on any pilot programs or anything you’ve done in that regard. So, pick up both absent obviously economic events.
Mike Dubyak: Yeah, we’ll speak to the results. I think we talked about last time we were doing some tests on outbound telemarketing to the small end before we mostly did lead generation with mailers. We get responses and then we follow up. Now, we're are trying to reach out. So, we're still in that test phase. So there’s not much to say. We have gotten more aggressive with the small businesses even working closer with our oil companies. So, we have some affinity programs and private label programs and we have used help to leverage more into that small fleet market and we’ve seen some up tick in trends from that as well. So, we continue to work that aggressively and we hope as the small businesses recover, then we'll even see more impacts from some of the things we're doing.
Operator: Our next question is coming from Greg Smith with Duncan Williams. Please state your question.
Greg Smith: You mentioned this deal with another online travel company for the rotating account, is that deal, is that signed and it's just in the testing phase ahead of full implementation?
Mike Dubyak: It is signed. We are rolling out a piece of their business this year and everything is going well, but all I wanted to reiterate was that to really win all of their business will take time, but we are in a position where we have now the ability to continue to prove the strength and viability of our product and then hopefully win more of their business throughout next year.
Greg Smith: And Mike, can you remind us of the economics of that? I assume you are getting the interchange and then sharing some portion of that with the client?
Mike Dubyak: Exactly. It's almost like when we look at our co-brand business. How much do we have to do on the servicing side, there is a little bit less on the servicing side. So, we will share some of that back, because they are maybe doing more of the servicing. So we just look at the total, who is driving some of the different expense areas and then how much do we want to share back.
Operator: Our next question is coming from Paul Bartolai with PB Investments.
Paul Bartolai: First to Bob on the late fees, just want to make sure I am clear here. So, it sounds like you are still not seeing any different experience in the collection that just people are deciding to pay the late fee regardless and they are still paying the balances off.
Melissa Smith: Yeah. That’s right. They are people that would have paid anyway, they just were going a little bit delinquent past due their balance and were paying a late fee historically and we had bought with a change in the calculation that you would see an alteration and that payment pattern hasn’t really changed.
Paul Bartolai: But there is no concern about changing credit quality given they are paying higher late fees.
Melissa Smith: No. No. And if you look at the amount that we have past due compared to other years, it looks very solid.
Paul Bartolai: And then on the guidance on the same client transaction, I think you said 5% to 7% in 4Q. It sounds like that's just simply a function of the [math] and the company as you are not really seeing or assuming any improvement in the base business.
Melissa Smith: That’s generally right. Yeah. As Mike said before, it's like we're lingering around the bottom for not seeing further degradation but not improvement either.
Paul Bartolai: And then as far as the payment rate goes, you noted that was down sequentially and I think may be Mike mentioned that some higher rebates, if we see gas prices, just assuming they are kind of flat at these levels, do you think the discount rate stays flat or are you still seeing some, having to give back more to the clients or are there any big renewals coming up that that could pressure that?
Mike Dubyak: Well we said that, and I think we are consistent, that most of the decrease was because of the increase in the price of gas and there was still a little bit of rebating which I think goes on, on every quarter because there's either new contracts come up or we're buying for new business. We talked about the GSA. That was a piece of business that we had different rebates based on payment terms as an example and if they want to pay us earlier, we give them a higher rebate. But all of those things still come into play. So we will continue to have probably some additional rebating going on every quarter as we're either renewing a contract potentially or if we are signing up a new piece of business. But if I think from the oil side, if the price of gas stayed the same, then we would probably see that be pretty flat. If anything, it may even up tick a little bit because we have renegotiated a few of the contracts and as those kick in the next few months, those difference programs, the rate may slightly go up.
Paul Bartolai: And then sorry to jump around here. On the credit losses, it sounds like that’s going to be a little bit above the historical range in 4Q. I know you haven’t given '10 guidance yet, but any thoughts or comments on what you're expecting for credit losses in 2010?
Melissa Smith: Yeah we'll give '10 guidance on our next call. That said, in general the fourth quarter though is pretty consistent if you look back over our history for what we've seen in the fourth quarter. So it's higher than the annual range but its pretty normal for…
Paul Bartolai: It's still normal for seasonal point of view. Okay. Fair enough. And then just last one. As far as the Citi relationship goes, I saw some stories in the past couple of weeks that City has been just gone out and kind of shutting down people's gas cars and then stuff like that. Is there anything going on with that relationship, anything changing as far as you guys know with Citi's commitment to this product that might impact your relationship with them?
Mike Dubyak: I don’t see any changes. I think that was all on the consumer side with MasterCard or Visa programs, say I think MasterCard but I don’t want to say its MasterCard if it was Visa. So, I'll try to be careful there. But all consumer related on what we see with the relationships with the oils, they have strong relationships I think that’s business they are still very committed to, we don’t see any change with us. I would just think there could be some repercussions though from oil and my MasterCard is being impacted and it might impact the overall relationship, but we don’t see any changes.
Operator: Our next question is coming from David Parker with Lazard Capital Markets.
David Parker: I'm just hoping that you could provide a little bit more color on the stake government win. Specifically what was the state agency, your penetration rate in those stake government vertical and then also any opportunity as to win more state business?
Mike Dubyak: Yeah, we've always been aggressive going after government business. As you know, we won the GSA last year which was a big piece of the federal government. I don’t know the exact count, we have 17 or 18 state governments that we service today. So, every time one of those come up for renewal we're very aggressive because we think we have the ability to win that business with our different products and services. And then as you win state business, you have the ability to market to the municipalities because they can tag on to the state government business with whoever the winner is of that RFP. So, we continue to do marketing program especially as we mapped out the stimulus dollars to stay how can we go into those 17 or 18 states that we had relationships with, trying to get the municipalities, the county governments whatever, to kind of tag on, so that we would hopefully not only get their business, but as they grew because of stimulus dollars see some up tick in business. So, we are aggressive in that marketplace. It's competitive like the rest of the marketplace and we hope to win more business in the future.
David Parker: And then in terms of general growth opportunities going forward, when you will have these new customer wins, are you typically winning from a competitor that has a fuel card or a fleet that is using a competitor's fuel card or are you still winning some fleets that are using general purpose cards or using cash?
Mike Dubyak: I think it's all about depending on the market. If you are talking the largest fleets, typically they are using one of our competitors or us so if we're winning, we’re winning from somebody else, the state government we took it from another fleet card provider. If you enter the mid market you'll start to see all of our competitors and you'll see some of even the oil company cards that maybe we don’t process competing. And there is some open space not a lot, but there is some open space. If you move down market into the small fleets, clearly there is a lot of cash customers still today and there is still a lot of general purpose cards that are being used. So, that’s where the if you will, the two open space would be, those cash customers and potentially the general purpose cards.
Operator: Mr. Dubyak, it appears there are no further questions. Therefore, I'd like to turn the call back over to you for any closing remarks.
Mike Dubyak: Thank you Claudia and thanks everyone else for listening. We'll look forward to speaking with you again next quarter.
Operator: And that does conclude our conference call. Thank you for joining us today.